Operator: Good morning, and welcome to General Motors Company Second Quarter 2023 Earnings Conference Call. During the opening remarks, all participants will be in a listen-only mode. After the opening remarks, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, the conference call is being recorded, Tuesday, July 25, 2023. I would now like to turn the conference over to Ashish Kohli, GM Vice President of Investor Relations.
Ashish Kohli: Thank you, Amanda, and good morning, everybody. We appreciate you joining us as we review GM's financial results for the second quarter of 2023. Our conference call materials were issued this morning and are available on GM's Investor Relations website. We are also broadcasting this call via webcast. Joining us today are Mary Barra, GM's Chair and CEO; Paul Jacobson, GM's Executive Vice President and CFO; and Kyle Vogt, CEO of Cruise. Dan Berce, President and CEO of GM Financial, will also join us for the Q&A portion of the call. On today's call, management will management will make forward-looking statements about our expectations. These statements are subject to risks and uncertainties that could cause our actual results to differ materially. These risks and uncertainties include the factors identified in our filing for the SEC. Please review the safe harbor statement on the first page of our presentation as the content of our call will be governed by this language. And with that, I'm delighted to turn the call over to Mary.
Mary Barra: Thanks, Ashish, and good morning, everyone. Our operating results continue to demonstrate strong growth, thanks to an incredible customer response to our new trucks and SUVs around the world and strong execution of our business plan by the GM team, our dealers, and suppliers. Together we delivered $3.2 billion in EBIT adjusted in the second quarter, including an $800 million charge for new commercial agreements we have with LGE and LGES. The charge reflects the conscious decision we made during the Chevrolet Bolt EV recalled to serve our customers in ways that go beyond traditional remedies, and we're taking new steps that will reduce our costs and improve our margins over time. We'll provide more details about EV margin improvement and IRA benefits at the Investor Day in November. Our momentum is broad-based. Year-over-year, we have now delivered four consecutive quarters of higher retail market share in the U.S. and our total share was up almost one full point in the first half, with strong pricing and incentive discipline. We lead the U.S. industry in both commercial and total fleet deliveries calendar year to date. We now have led the U.S. industry in initial quality for the second year in a row. We are focused on strong cost discipline and we are taking additional steps to lower our capital spending. All of this impacts the bottom line, so we are raising our full year earnings, free cash flow, and EPS guidance for the second time this year. We now expect full year EBIT adjusted earnings to be in the range of $12 billion to $14 billion up $1 billion from our guidance. Adjusted automotive free cash flow is now expected to be up $1.5 billion in a range of $7 billion to $9 billion, and EPS is now expected to be in a range of $7.15 to $8.15 per share. The actions we are taking to be more efficient are also having an immediate effect on capital spending. We now expect capital spending in 2023 to be in the $11 billion to $12 billion range, which is about a billion less than the high end of our prior guidance, and we are working on more reductions. This guidance assumes that we successfully negotiate new labor agreements without work stoppage. Our results in our new guidance underscore the strength of our products today. Last quarter we talked about new vehicles we're launching to support strong margins. All of them are connecting with customers. At the higher end of the pickup market, the GMC Sierra 84 and Denali models are now 70% of heavy duty retail sales. Premium models also account for more than 70% of sales for the new GMC Canyon mid-sized pickup. For the Chevrolet Colorado, our high performance off-road models, the Z71 Trail Boss and ZR2 represent more than half of retail sales. The new Chevrolet Trax is also off to a very fast start and it's driving solidly profitable growth. In the U.S., we delivered more than 20,000 Trax in the second quarter and we expect that to keep growing. Half of these customers are new to General Motors. All of these new vehicles help us deliver more than a $1,600 per unit increase in the ATPs U.S. compared to first quarter, with flat incentives and essentially flat inventory. We have the largest ATP increase in the industry by far. The other growth products I highlighted last quarter is Chevrolet Montana in South America and the tracks in Korea also continue to build momentum. The Montana is our first compact pickup for the Brazil market and in just four months it has earned one third of the segment. We're now expanding distribution to other markets in South America. In Korea the Trax is an unqualified success just like it is in the U.S. Pricing is strong and has earned more than 50% market share in its segment and two thirds of the customers are new to GM. These hits in the great work the team has done on cost have us on track to deliver significantly higher EBIT adjusted in GM International this year excluding China equity income. Looking ahead we have several launches and growing segments around the world that will keep our momentum going. In North America these include the 2024 Chevrolet Traverse, which we revealed earlier this month. It goes into production in Lansing, Michigan late this year. In the EV market, we achieved our target to produce 50,000 electric vehicles in North America in the first half. About 80% were the Chevrolet Bolt EV and EUV platform, but the Ultium platform production is increasing. We've had more than 2,000 customer reserve GMC Hummer, EVs and Cadillac LYRIQ in transit to dealers at the end of June. With both cell and vehicle production increasing, we continue to target production of roughly 100,000 EVs in the second half of the year and will continue to grow from there. Demand for our EVs remains very strong because the Ultium Platform is purpose-built for electric vehicles and it does not force customers to compromise on style, performance, utility, range or towing. We have experienced unexpected delays in the ramp because our automation equipment supplier has been struggling with delivery issues that are constraining module assembly capacity. We are working on multiple fronts to put this behind us as quickly as possible and things are already improving. For example we have deployed teams from GM manufacturing engineering to work on site with our automation supplier to improve delivery times. We've also added manual module assembly lines and we're installing more module capacity at our North American EV plants beginning with factory zero and spring hill this summer; Ramos Arizpe in the fall and CAMI in the second quarter of next year. And to address pent-up demand among our Hummer EV customers, we are planning to increase second half production by thousands of units. In the meantime Ultium Cells LLC is delivering great quality and production is ahead of schedule. Looking ahead the next phase of our EV acceleration is coming into sharper focus. For example we have now secured more than half of our 2030 direct sourcing target for many critical raw and process materials we need with significant on-shoring. During the quarter, this included an expansion of our Cathode Active Material joint venture in Canada and an investment to bring manganese sulfate processing to a new facility in Louisiana. As with other recent announcements, these agreements provide us with significant off-take and favorable commercial terms, which is a key component of the EV margin improvement strategy we outlined last quarter. Now let's talk about fixed costs. Due to the success of the $2 billion fixed cost reduction plan we announced earlier this year, we have identified another billion in fixed costs that we will deliver over the same 2023 to 2024 timeframe. This new action will offset about $1 billion in depreciation and amortization, which means that relative to 2022, our automotive fixed costs will be down $2 billion on a net basis as we exit '24. Key components include about $1 billion from the voluntary separation program, another $800 million in reduced sales and marketing expense and the remainder coming from significant reduction in all areas of the business, including engineering expense, travel, and administrative costs. We're not done by any stretch. Mark and I have asked Norm de Greve, our new Chief Marketing Officer to take a fresh review of our spending and put us on a course to deliver world-class levels of marketing efficiency. Our product teams are also embracing a strategy we call winning with simplicity that will reduce design and engineering expense, supplier cost, order complexity, buildable combinations, and manufacturing complexity. For example, our teams are applying even greater discipline around our color and trim pallets, the way we package features and options and reuse. For our EV and ICE vehicles, we are targeting a 50% reduction in trim levels through a smart bundling of customer features and options. This results in fewer part numbers to simplify marketing, engineering, manufacturing, while maintaining the best features customers want. Yet we are maintaining market coverage for all major segments and price points and the U.S. will compete in ICE and EV segments that represent about 90% of the industry volumes in 2030. Our next generation full-size pickup and SUVs will show just how powerful winning with simplicity will be. We are investing significantly less capital and expect to deliver vehicles that will have much higher levels of customer-facing content and even better margins than today. Another great example of a capital efficient program is the next generation Chevrolet Bolt that we plan to execute. Our customers love today's Bolt. It has been delivering record sales in some of the highest customer satisfaction and loyalty scores in the industry. It's also important source of conquest sales for the company and for Chevrolet, more than 70% of customers are new to GM. We will keep some momentum going by delivering a new Bolt that delivers what customers have come to expect, which is great affordability, range and technology and we will execute it more quickly compared to an all-new program and with significantly lower engineering expense and capital investment by updating the vehicle with Ultium and Ultifi technologies and by applying our winning with simplicity discipline. We will have more details to share soon. Now, before we move to Paul's comments and Q&A, I'd like to invite Kyle to update you on the important steps Cruise has taken to scale its business and make it profitable. So, Kyle over to you.
Kyle Vogt: Thanks, Mary. We are halfway through our first year of rapid scaling and it's going extremely well. We're on a trajectory that most businesses dream of, which is exponential growth, driven by continuous improvement, engineering innovation and solid product market set. Our formula for driving this growth is quite simple. Number one, we increase the supply of vehicles. Number two, we increase the service availability, some more people can use it and number three, we would make the product awesome. So let's talk about how we're doing on all those and get into the numbers. On the supply side, we recently hit 390 concurrent driverless AVs. We believe this is the largest and fastest growing AV fleet in the world. Yet you will see several times this scale within the next six months. This is all on the Bolt platform, which we can scale the thousands of AVs, but we're also about to transition to origins, which are a game changer for cost and are incredible to write in. And today, I'm pleased to share that our test vehicles are already running in driverless mode on public roads in multiple cities. And we are confident in our regulatory and permitting paths despite this being the first time a major OEM has manufactured a vehicle without traditional controls. As a result, we believe we're the only AV company with a well-defined and significantly de-risk path to reach billions in revenue. On the second item, availability, we're rapidly expanding cities, hours and service area. As very recently, we now operate a significant portion of our San Francisco fleet, 24x7 across the entire city. We've expanded geofences and hours in Austin and Phoenix, and we plan to expand significantly in the next 30 days. Lastly, we've done the prep work and we'll launch commercial service in two or three more cities in the next 12 weeks alone, bringing us to as many as six commercial markets with several more following shortly after. All the critical ingredients, things like mapping, ground infrastructure, validation, user acquisition, etcetera, have become several times more efficient as we move from city to city. On the third, making the product awesome, we have over 85,000, five-star reviews in San Francisco alone. People love the product and it gets better every month with each new software update. And based on data from tens of thousands of users across multiple cities, it's clear to us now that demand will greatly exceed supply for several years, and this gives us margin opportunity and a potential to be a head of plan on revenue growth. Now that is rapid scaling. I'll share a few additional data points before we move on. Cruise cracked three million miles just 49 days after hitting two million miles, and the next million is going to be even faster. We're now doing over 10,000 rides per week, but more importantly, we're growing rides at 49% per month on average over the last six months. 28-day user retention is nearly at the level of a fully matured human ride-hill service, and it continues to turn upwards. The product is extremely sticky despite the limitations in hours and service availability that exist today. All of that scaling is occurring while also improving safety and driving down costs. Let's take a look at those. Safety continues to improve despite increasing complexity. Our analysis of the first million miles shows AVs experience 54% fewer collisions than human drivers in similar environments, and 92% fewer with AV was the primary contributor. In other words, the vast majority of collisions are caused by inattentive or impaired human drivers, not the AV. And we expect a gap between human and AV performance to get much wider over the next 12 months. On the cost side, we're seeing ideal trends. Our operational cost per mile travelled has gone down by an average of 15% per month for the last six months, led by optimizations and infrastructure, process improvements and automation. Our fixed cost due to machine learning training and simulation are also decreasing over time due to better simulation techniques and investments in efficiently, but most exciting is the step function improvements in cost, we will see as our newer vehicles and AV architecture is launched, due to having a much longer service life, the origin significantly reduces our cost per mile. We also have an optimized sensing and compute architecture in late stage development that costs about 75% less than what will be on the very first origins. It's the first time Cruise's custom chips will hit the road, which we expect before the end of next year. As our fleet rolls over to this architecture, we'll start to see costs head below $1 per mile, the magic threshold at which robots actually become cheaper for most people than owning a car. Lastly, we have something else that's fed in the works for a few years that is highly disruptive to the already highly disruptive AV industry, more on that later this year. So putting you things together, it's clear now that Cruise is no longer a science project. There was one significant risk in reasons to doubt, but it's now a rapidly growing business with a transformational product in a multi-trillion dollar TAM. We've made incredible progress in Q2 over Q1, and I'm excited to continue that momentum in the months ahead. We're truly just getting started. Back to you, Mary.
Mary Barra: Thanks, Kyle, and thanks for sharing the progress that the Cruise team is making is just incredible. So, before we move into Paul's remarks, I'd like to address our negotiations with the UAW, which just kicked off and with Uniform. First and most importantly, I want to say how proud I am of our talented and experienced manufacturing workforce. There's a direct connection between their hard work and our success, and we have a great future ahead of us. As we've talked about today, the future includes continued investment in strategic ICE vehicles, like the full-sized trucks, full-sized SUVs, and mid-sized SUVs. Our future also includes retooling existing assembly plans and upscaling the team as we transform the company to grow rapidly in EVs. We have a long history of negotiating fair contracts with both unions that reward our employees and support our long-term success of the business. Our goal this time will be no different. That's the best possible outcome for all of our employees, plant communities, dealers, suppliers, and investors, and we look forward to constructive talks. So, thank you and now let me turn the call over to Paul.
Paul Jacobson: Thank you, Mary, and good morning, everyone. Thank you for joining us. I'd like to start by thanking the team for their collaboration on delivering yet another quarter of strong results, and consistently meeting or exceeding our financial targets. At the same time, we are growing the business with four consecutive quarters of year-over-year U.S. retail share growth, and stable incentive spend. The core auto-operating performance continues to fuel the results and fund investments to drive growth in our business, with Q2, even adjusted of $3.2 billion, including the $800 million charge from the LG agreements. We also generated a 7.2% EBIT-adjusted margins, including a 180 basis point headwind from those LG agreements. Aided by a strong consumer and a robust product portfolio, we are raising guidance for the second time this year, driven by great products, successfully balancing supply with demand, and proactive cost management. We have made bold commitments, and to achieve them, we are focusing on a solid foundation. As Mary mentioned, we are well along our way to achieving the $2 billion automotive fixed cost reduction. We are also announcing another $1 billion fixed cost reduction to offset higher depreciation and amortization from the significant manufacturing investments we have been making, and our ICE and EV portfolios. This expands the impact of the plan with the only automotive fixed cost excluded being the lower pension income, a non-operating non-cash item. The product simplification initiatives are expected to have incremental benefits in the years to come, as we refresh future ICE products and transition to EVs. We are also taking a capital-efficient approach to our growth initiatives. For example, we have a profitability-driven strategy towards selectively re-entering Europe, and we recently announced a collaboration with Tesla, the double access to charging for our customers without much incremental investments. Community, these factors, along with a reduction in headcount, marketing spend, and overhead costs, will result in us realizing about a $1 billion of year-over-year fixed cost savings in 2023, with most of this benefit coming in the second half of the year. Getting into the Q2 results, revenue was $44.7 billion up 25% year-over-year driven by supply chain improvements and stable pricing. Wholesale volumes year-over-year were up 20% in Q2 and 12% year-to-date. For the full year we now anticipate being towards the high end of our 5% to 10% guidance range. We achieved $3.2 billion in EBIT adjusted, 7.2% EBIT adjusted margins and $1.91 in EPS diluted adjusted. Total company results were up $900 million year-over-year driven by supply chain improvements versus Q2 2022, but more importantly, we also had a combined $1.4 billion of headwinds from the LG agreements, lower pension income and lower GM financial earnings. ROIC was above our 20% target, demonstrating consistently strong and improving core operating performance. Adjusted auto-free cash flow was $5.5 billion up $4.1 billion year-over-year, driven by improved supply chain conditions and higher earnings year-over-year. During the quarter, we repurchased $500 million stock retiring another $14 million shares bringing the 2023 total to $865 million and 24 million shares retired. We expect our strong balance sheet and cash flow to support continued share repurchases as part of our capital allocation framework moving forward. North America delivered Q2 EBIT adjusted of $3.2 billion up $900 million year-over-year and EBIT adjusted margins of 8.6%. The strength of the product portfolio supported market share growth, higher ATPs and again stable incentives. North America performance was impacted by $700 million of the LG agreement charge, which was a 190 basis point headwind to margin in the segment. We've seen two consecutive quarters of higher warranty related costs, an area we're monitoring very closely. The fundamental quality of our vehicles remain strong as evidenced by the JD Power ratings, however inflationary factors have increased the cost to repair vehicles and we've also seen incremental expenses associated with the recent ARC airbag inflator recall. Total U.S. dealer inventory was 428,000 units at quarter end, essentially flat from last quarter. Inventory on dealer lots of our new and most in-demand vehicles continue to run at around 10 days, including our full size SUVs, the all new Colorado and Canyon mid-size trucks, the Chevrolet Trailblazer and the Chevy Bolt. We are still targeting to end 2023 with 50 days to 60 days of total dealer inventory, although seasonality, production schedules and timing of fleet deliveries may take us out of this range from time to time. Supply chain and logistics challenges are trending in the right direction, however there are ongoing logistics congestion and industry wide railcar capacity shortages that we continue to take actions to mitigate. GM international delivered Q2 EBIT adjusted of $250 million, largely flat year over year. China equity income was $100 million up $150 million year-over-year as we lapped the COVID shutdowns in Q2 of 2022 and aggressively took actions to help offset industry challenge. I'd like to thank the China team for their tireless efforts and perseverance through multiple years in a challenging environment. EBIT adjusted in GM International excluding China equity income was $150 million, down $150 million year-over-year, driven by a $100 million charge from the LG agreements and $150 million of mark-to-market gains recorded in the prior year. Absent these items, the results would have been up year-over-year with price increases more than offsetting FX headwinds due to the strength of the product portfolio, a trend we expect to continue in the second half of the year. GM Financial delivered EBT adjusted of over $750 million down close to $350 million year-over-year in line with expectations and primarily due to a higher cost of funds and lower net leased vehicle income, partially offset by increased finance charge income from portfolio growth and a higher effective yield. GM Financial's key metrics, balance sheet and liquidity remain strong providing them the ability to support the GM enterprise and our customers across economic cycles. As a result, we are taking our full year EBT adjusted guidance up to the $2.5 billion to $3 billion range. Corporate expenses were $350 million in the quarter down $400 million year-over-year, primarily due to differences in year-over-year mark-to-market changes in the portfolio. Cruise expenses were $600 million in the quarter, up $50 million year-over-year, driven by an increase in operating spend as they continue to expand operations successfully. As we look forward, due to the strong Q2 core performance and outlook, we are again increasing our full year guidance to EBIT-adjusted in the $12 billion to $14 billion range, EPS diluted adjusted to the $7.15 to $8.15 range and adjusted automotive free cash flow in the $7 billion to $9 billion range. Most of the underlying assumptions in our guidance remain unchanged from Q1, with stronger pricing, the main driver behind the increased outlook as we foreshadowed. In addition, we expect better cost performance in commodities and logistics costs to be neutral for the full year. We're bringing the high end of our 2023 capital spend guidance down by $1 billion this year to the $11 billion to $12 billion range in part due to our simplification initiatives. We are evaluating and we'll provide an update on the medium-term capital spend outlook at our Investor Day later in the year, but expect the spend to come down from the previous $11 billion to $13 billion range. For full year adjusted automotive free cash flow guidance, we expect working capital headwinds related to the module assembly challenges Mary mentioned -- offset the benefit from the higher EBIT adjusted lower short-term timing impact result revenue more of cells. But this is expected to unwind as module assembly capacity increases. In closing, we remain very well positioned for the future and achieving our medium and our long-term targets as we've highlighted. We're focusing on profitability, and our recent results demonstrate are not sacrificing margin for volume. We will continue this strategy with the decisions we're making today, helping to drive a fundamentally stronger company beyond 2023. And when you factor in our expected revenue growth, including the opportunities from the software-defined vehicle, AV and other new businesses, this sets us up to grow margin as we get to the back half of the decade. This concludes our opening comments, and we'll now move to the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from the line of Rod Lache with Wolfe Research. You may go ahead.
Rod Lache: Congratulations on these numbers. I was hoping to maybe ask you for a broader question about EVs. You made some assumptions for EV pricing and EV costs when you laid out your hands for mid-decade profitability. And I'm hoping that you can just update us a little bit on your thinking just based on how the markets evolved with some cases with more aggressive competitive pricing. And obviously, we're also seeing some manufacturers put in different manufacturing innovations to drive down costs. What are your latest thoughts on that? And have any of your observations led you to change any of your plans?
Mary Barra: Thanks, Rod, for the question. I would say we're doing a lot in that space. Our -- what we said last year at Investor Day, it gets low to mid-single-digit margins for our EV portfolio by 2025 remains unchanged. Even with all the things that are moving in that, we're committed to getting there. I think when you look at the incredible cost discipline that we're demonstrating right now as well as winning with simplicity. It's just going to take cost out of every part of the business and make everything more efficient. And we think actually be better from a consumer perspective. . As it relates specifically to manufacturing costs, there's quite a bit of work. We have a special team that is looking at how do we continue to drive efficiency, especially in the body shop. And of course, the battery team is working on how do we take cost out from an LTM perspective with what we've learned by now having that up and running. So I think there are several areas we're working on. We intend to have industry-leading margins, and we're not going to stop until we get there and we still have a lot of levers to pull. I don't know, Paul, if you want to add anything.
Paul Jacobson: No, I think you covered it. I think, Rod, one of the things that we've asked -- we've been asked on this call frequently is about pricing strategy. And when you look at the demand we have for our vehicles and as we're ramping up production, we still have pent-up demand. People are hanging in there with orders. And I think with some of the challenges identified as we ramp production, we see a lot of consistent strong demand for the products that we're producing. And I think that comes from a purpose-built EV that we did from the ground up, which I think is going to continue to impress people as we get more vehicles out on the road.
Rod Lache: Okay. And just a follow-up on that. Just it sounds like you're not changing your expectations for mid-decade pricing. Just wanted to clarify whether there's been any changes based on observations that you've made on capacity growth and competitive actions? And then secondly, can you just maybe elaborate a little bit on this $800 million LG charge? And what that actually means you alluded to lower cost, but it wasn't clear whether that was a one-timer or was that launch cost or something else?
Mary Barra: So first of all, on pricing in our plan, of course, we're going to be -- we're going to watch what's going on in the marketplace. But I think one of the things we demonstrated for almost 15 years now is we're going to be very disciplined with incentives and with our vehicles and when I think when you look at the original pricing that we announced I think it was very in line with what the customer expects for the value they're going to see from the products. And so far we're seeing that. So we believe we have priced the vehicles right. Again we have a lot of pent up demand. The feedback we're getting anecdotally for instance, from LYRIQ, new LYRIQ owners is they're just delighted with the vehicle. So I think we've got the pricing strategy right. Of course, we're going to watch it. And we're not changing our mid -- our 2025 EV profitability guidance. We'll pull all the levers that we have to either get there if there's challenges or make it even stronger. So again, Rod, we know it's a dynamic business, but we're committed to get there. And I think this leadership team continues to be able to do what they say. As it relates to the $800 million, there were many issues that we wanted to take care of, but I would say a chunk of it was us doing the right thing for our customers that goes beyond what a traditional recall expense back to a supplier would be as we look at that because we chose to do the right thing from a timing perspective. And I think our customers are happy as evidenced by the still the strong. Actually, we can't build enough Bolts right now. So we'll share more about what everything means for our EV margins when we get to November. But again, we thought it was the right thing to do, and we are -- have been and will continue to work with our partner, LG ES to take cost out of what of the Ultium and specifically the Cells,
Operator: Our next question comes from Itay Michaeli with Citi.
Itay Michaeli: And congrats on the results. Just wanted to ask a couple of questions on the Ultium ramp. First, the issue what you identified with the automation equipment for the modules. Can you talk about when you expect that to be fully resolved? And are you still targeting the $400,000 of cumulative volume by the first half of next year?
Mary Barra: Yes, we so we're not walking away from any of the targets we put out, whether it's 100,000 in the second half of this year, leading them to 400,000 by middle of next year. And what you're going to see in the second half of this year and then really crank up in the first half of next year is a lot more Ultium-based product. . We were surprised the supplier, we thought they were in better on track for the delivery that they had. So we have seen in our teams to help them get the automation up and running. We've already seen a lot of improvement from I'll say, the last four to six weeks, we're going to continue on that path. But to derisk it, we've also added additional lines because we don't want module production to gate our launch of all the products that we have coming in the second half of this year and continuing into next. And we know we're going to need that module assembly capability anyway as we continue to grow beyond the 400,000. So disappointing, I've personally been reviewing the lines. As you know, I've spent time in ME earlier in my career running. So we'll get this behind us. I'm very confident of the teams we have in place. So you'll see it improve as we get through I would say, into the end of third quarter, beginning of fourth quarter, and then I think it will primarily be behind us by the end of the year, if not a month or so sooner.
Itay Michaeli: Terrific. That's all very helpful. And then just a follow-up on -- broadly on U.S. EV demand. There's been a lot of focus on rising inventory. So just curious how you slot reservation orders as you ramp up Ultium products. And also how you're thinking about the Silverado EV pricing just given the recent action from your competitor.
Mary Barra: Yes. So I think from the recent competitive action, if you look at the Silverado work truck, the range, the telling capability, the overall performance. It's a true truck. So when people aren't having to make compromises or trade-offs. So I'm very confident, and we have strong demand for the Silverado work truck as well as the RST, which will be -- that's from a retail perspective out toward the end of the year. So I'm very confident with where we are in the pricing for the Silverado EV. And that's -- your first question, Itay, was...
Itay Michaeli: Just probably on EV demand, what you're seeing in reservations and just how confident are you kind of -- what you're seeing for your products in the next few months.
Mary Barra: Yes. Again, we're seeing with LYRIQ, we're seeing with the HUMMER truck and SUV, Frankly, the Bolt, I mean these vehicles are getting to the dealers' lots. And if they're not already sold, the -- they've got a list of people who are waiting for them. So -- and we still have a lot of reservations and people who put deposits down. The churn on that is very, very low. And for the rare customer who decides they're not going to wait for the vehicle, there are several more waiting in line. So again, we're very confident. And it's not by accident. It's because we -- there's been some criticism that we should have been faster with our EVs. We're going as fast as we can, but we wanted to make sure we were leveraging a platform that's going to give us efficiency with Ultium and that consumers weren't going to have to compromise. So I'm very confident with the product portfolio we have coming, the pricing and the demand.
Operator: Our next question comes from Mark Delaney with Goldman Sachs.
Mark Delaney: GM had strong pricing and mix again in the second quarter even as supply and inventory for the industry are gradually recovering and borrowing costs for consumers are higher. You talk about how you expect the market environment to evolve in the second half of the year? And are there any levers for GM in particular in order to help to sustain some of the strong core automotive performance that you've been seeing? .
Paul Jacobson: Mark, it's Paul. Thanks for the question. We're still kind of operating somewhat cautiously as we said from the beginning of the year. We're not assuming major increases in pricing or in average transaction prices going forward. So we expect that to continue, and it really starts with the demand that we see for our vehicles. We've tried to keep inventory pretty consistent. We've grown it a little bit to get it to the lower end of that 50- to 60-day range that we're working on. But overall, maintaining discipline on the incentive side as well. So we've really been focused on driving share with margin performance. I think the team has done a good job. As to whether that will continue, we're kind of taking it day by day, month by month. And we're very pleased with the results. But as long as we see demand continuing to be as strong as it is for our vehicles, we think we're going to continue to perform.
Mark Delaney: That's helpful. And on Cruise and good to hear all of the updates on the progress that Cruise is making. I recall you mentioned Cruise vehicles being safer by 54%. Maybe you can elaborate a bit on how you're measuring the safety of the vehicles that Cruise has with its AVs relative to a human driver. And are there any specific features on the origin as it relates to safety that you could point out as perhaps drivers of additional improvement going forward?
Kyle Vogt: Yes, sure. I'd be happy to. So clarify the 50-some-percent number was a reduction in any kind of collision. And the way that we measure that as we looked at the first 1 million miles of driving across the Cruise fleet and compare that to a human benchmark that we established with leading transportation research institute. And that was based on millions of miles of driving by human drivers then selected a subset of all those miles and matched it to EV drive. So as close as possible to it, apples-to-apples comparison. But beyond that, 50-some percent collision reduction doesn't really tell the whole story because that includes things where the AV was sitting still and just got rare ended by driver. That's not really the fault of AV. When you look at collisions where the AV was the primary contributor, 92% fewer collisions. So most of the time, it's the other vehicle that's the primary contributor towards any collision that we've seen. And then I guess another one we're really proud of is AV is it 73% fewer collisions with meaningful risk of injuries. These are the more severe types of collisions, not just the low-speed fender benders. So all these in aggregate tell a very compelling story. And I would emphasize that this is still -- this is the product as it exists today, and we push out a new software update each month, which targets specific kinds of safety improvements. So I think there was a question early on, on how the AVs do relative to humans. I think our data shows that we're already at least from this data, there's strong evidence of significant safety improvements. And I think it's going to continue improving at a rapid clip as we continue to invest in machine learning technologies and other ways to drive up the safety of the product.
Operator: Our next question comes from John Murphy with Bank of America.
John Murphy: I just wanted to ask a question like we often do on cap viewed. I mean 102.7 in North America. A skeptic might say, hey, listen, you're running all out and as you bring on more volume, you're going to need to add fixed costs and variable costs. And with the risk of pricing coming down, you can see real compression in margin. But an optimist might say, listen, that's staff capacity, pricing will hold up and you'll just bring on variable costs as volumes recover. I'm just curious where in the spectrum, I think you actually are in sort of that range because it does seem like there's some real opportunity if pricing holds up and you just bring on these variable costs, but there might be some real significant upside to margins over time. .
Paul Jacobson: Yes. So certainly, that has been part of what's been working for us for the first six months. And despite that higher capacity utilization, you're seeing inventory remaining pretty much flat with a lot of the inventory growth or inventory still strapped in that in-transit bucket. As vehicles are making their way to the dealers, we see them still turning very, very quickly, and that's allowed us to continue to lean into the pricing and make sure that we've got consistent incentive performance. And I think you've seen some outperformance from GM over the last several months in that space compared to the industry as a whole. So I think we've shown a willingness to balance supply with demand as we did in the first quarter, where we cut some of the capacity utilization intentionally to make sure that we kept margins flat or kept -- sorry, inventory flat and margins strong. So we're going to continue to watch that. But as we've seen, it's provided tremendous benefits for us so far, and we're going to continue to manage it that way.
John Murphy: But if you were to flex up on volume, would it be mostly a variable cost that would come in? Or would there need to be some fixed costs that would come along with that step-up of buying with.
Paul Jacobson: Yes, it would be mostly variable costs. But when you think about where the company is being utilized, it's at the higher end now, with the demand that we've seen for the higher trim levels on the full-size trucks, SUVs, et cetera. So we might not be able to do it in a linear way. where you've got some mix if you're increasing production on some of the lower-priced smaller vehicles across the board. So we watch that and try to maintain as much balance as we can.
John Murphy: Okay. Just a follow-up on fleet. Fleet has been a real good guy for you and the industry. When you think about the durability and resilience of that in the face of even potentially some risk to the economy here, how durable is that. And is there just massive pent-up demand on the fleet that might carry the day even if rates were a little bit higher and we see a little bit of a soft patch in the economy? .
Paul Jacobson: Yes. I think you captured it well, John. Obviously, we've got a lot of pent-up demand from the last few years where fleet took the brunt of some of the capacity challenges due to COVID and due to the semiconductor challenges. In fact, if you look at the first half of the year, year-to-date, it was the best fleet performance since 2007, largely fueled by the commercial side of the business. And as we've said before, the fleet business is very different than it was in the past, where it was very, very thin margins in an effort to drive volume. Our fleet business is performing very, very well with margins similar to the retail side. So the business continues to perform, the team is doing a great job, and we expect that to continue for the short and medium term.
John Murphy: I'm sorry, just one housekeeping question. The 792 charge for the LG issue, was that contemplated in your initial guidance? Because if it wasn't, it's actually -- the raise today is more like a $1.8 billion raise in the outlook. I'm just trying to understand if you were contemplating that before?
Paul Jacobson: It's contemplated a guidance raise itself. It wasn't contemplated as we came into the year.
John Murphy: Okay. So the raise is significant today. It's actually more than $1 billion on operating basis if you were to back that out. Is that fair.
Paul Jacobson: Yes. Like we said, the business continues to perform going back to what we said in the first quarter as long as the consumer held up and strong, we expected that we'd be able to surpass the guidance we put out and that certainly what you've seen through the second quarter and what we can see July month-to-date has held up very well as well.
Operator: Our next question comes from Adam Jonas with Morgan Stanley.
Adam Jonas: So a question on the new Bolt. I think in your prepared remarks, you said it will be updated with Ultium and Ultifi technology. Sorry to be pedantic here, but I just want to know, are you using attributes of Ultium? Or is this a full ground-up Ultium platform?
Mary Barra: So it will incorporate -- when the new version comes out, we will say it's an Ultium-based product. So we are definitely leveraging that technology because that's going to really help us get costs down. Remember, today's Bolt is our second-generation battery technology and from Gen 2 to Ultium. We saw about a 40% reduction as we started to launch. So that's going to really help drive the profitability of that vehicle. And then with the work that we've done from a software-defined vehicle, Ultifi, it will have latest from that perspective as well. So this is a very capital-efficient quick way to build. And the strong consumer response we have to the Bolt and getting affordable vehicle out into the marketplace. So as we continue to look for ways to drive capital efficiency, this is something we look before. But as we've gotten more experience, the team took a look and frankly, I'm super excited about it.
Adam Jonas: Okay. Just a follow-up. Audi announced it's going to use SAIC's next-gen EV platform for China and possibly, elsewhere. Since SAIC is your biggest Chinese JV partner. I'm just wondering, could GM also consider using SAIC's EV platform to address the specific needs of the Chinese EV consumer? Or is the strategy there kind of Ultium only for China? Like are you open to a potential use of another non-Ultium platform even if you could adapt some technology.
Mary Barra: Yes, Adam. Great question. I think the Ultium platform is much more efficient. I think they've already indicated that their dedicated platform wasn't competitive from a cost perspective. We're continuing to take costs out of Ultium. But of course, we always look at what the joint venture partner can bring to the party, and we're going to look to make sure that we're competitive from an EV perspective in that market as well. So we are open and always considering whatever is the most cost-effective way to have a vehicle that's going to have no compromises to meet the performance of, in this case, the Chinese consumer.
Operator: Our next question comes from Dan Levy with Barclays.
Dan Levy: First, I just wanted to ask about the commentary on CapEx, which you noted the $11 billion to $13 billion for '24, '25 is under review. You trimmed the CapEx for 2023. Maybe you can just give us a sense of how you're looking at the manufacturing build-out. I think you noted that there's some simplification initiatives. Is that just something that was incremental? Or was that a byproduct perhaps looking at the market a little differently in terms of demand. I guess we're just wondering is that the slowdown in spend just purely the simplification. Or is there something else on the manufacturing side with market demand that's causing you to slow down a little bit the way that you're spending?
Mary Barra: As there was no market-driven slowdown, this was really us looking and making sure we had the absolute right portfolio entries. And as I mentioned, for both EV and ICE we're going to -- by 2030, we'll be covering 90% of the segments, but we looked and found ways to do that more efficiently. The Bolt is a good example, instead of doing an all-new vehicle really leveraging the capital that's already there and the benefits we have by having the Ultium platform. And then I think the winning with simplicity, in the past, we've gone in and done complexity reduction. But if you don't do it as you design the vehicle, you drive a lot of capital in vendor tooling and in the plant. And frankly, this is something we've been working on for the last several months. Mark Reuss is leading this initiative with the marketing and manufacturing teams. And we are finding, there's a lot of ways to take cost out of manufacturing and from a capital perspective as well. So it's pretty significant. You'll hear and see more about it. But just the comment I made about getting rid of trims that directly correlates to spending less capital, especially on the vendor tooling side.
Dan Levy: And then as a follow-up, I just wanted to pass the question on this -- on the charge associated with the Bolt. And really, this pegs the question, Ultium is a new product, and I think there's a lot of unknowns with the new product. How should we think about the type of warranty expense you may need to accrue on these products, how much more -- I mean, is there a need to be an added level of conservatism as the ramping? Or is there some clear data that you have that shows just early on that the quality will be far greater than the initial Bolt, which was -- you've clearly evolved on your architectures. But just wondering how you need to think about warranty expense going forward on the new vehicles .
Mary Barra: Yes. I would say if you go back, the Bolt's been in market for several years now and actually had very good warranty performance. Remember, this was two specific manufacturing defects that have occurred at the same time, caused the issue on the Bolt that was in the LG ES process. We -- our team worked hand-in-hand with them. We understand exactly what happened. When you look at what we're doing at the Ultium plants from a cell perspective and the amount of error proofing and the fact that we're following the quality process and have the traceability that if there were an issue, we wouldn't have to do the whole population. All of that's been put in place. So I think all those lessons learnt. Then when you look at what we've got from an Ultium perspective already and what we're seeing, I think we're very confident that we're going to see strong or I would say, good warranty performance, strong warranty performance on these vehicles because, again, using General Motors manufacturing quality systems and processes across the board. So I don't think that because it's new, I think some of the things we're struggling with to start up with our suppliers is the modules, that's not going to necessarily drive a quality issue. Again, we have quality checks and processes and using the appropriate error proofing to know that when we have a cell, when we have a module when we have a pack, it's measured and checked for quality.
Operator: Our next question comes from Chris McNally with Evercore.
Chris McNally: I wanted to quickly go back to the $30 billion autonomous elephant in the room. And just a quick tech question for Kyle. So Assuming that the San Francisco policy update goes in sort of the industry's favor, do you just have a broad sense for when the 24x7 rollout will happen in San Francisco quarter, the consumer rides, I know there's internal testing where you're blanketing the city, but just curious on the consumer side. And then just how many AVs would it take to sort of blanket a city like San Francisco to have a disruptive service similar to Uber. Can you do it with under 1,000 to 2,000 origin?
Kyle Vogt: Yes, good question. So on the San Francisco side, so right now, as I said earlier, a significant portion of our fleet is operating 24x7, and that service is open to employees. So we are not far from opening that up to the general public. I can't give specific dates. But basically, we're operating that service to employees. Things are looking pretty good. So that is coming pretty soon. And as for what it would take to blanket a city like San Francisco, our goal is, as I think I said on previous calls is to make sure that we ramp up manufacturing capacity. We've got a variety of markets to absorb those vehicles. And there are practical reasons to ramp up gradually in the city, just to make sure it acclimates as it's transitioning to a new form of mobility. So it's not our intention just to sort of vehicles and sort of direct them all into a single city. That's our perspective. There's over 10,000 human ride hill drivers in San Francisco, potentially much more than that, depending on how you count it. Those drivers, of course, aren't working 20 hours a day like a robotaxi could. So it does not make a very high number to generate significant revenue in a city like San Francisco. But certainly, there's capacity to absorb several thousand per city at minimum.
Chris McNally: Much appreciate it. And then just a high-level question on the strategy for whoever comes to capital funding. Mary, it looks like there's about 3-plus type quarters before you'd have to sort of consider funding Cruise? Just any thoughts on internal versus external funding given the environment.
Mary Barra: I don't really have anything to comment right now. We certainly are generating the free cash flow that we can fund Cruise's expansion, and we'll look to see what's in the best interest of our shareholders. .
Operator: Our next question comes from Tom Narayan with RBC.
Tom Narayan: Mary, a question -- maybe a philosophical one on autonomy and how you view Ultra Cruise. In light of what we heard from Tesla and how they are potentially planning to license an FSD product. Just curious to how you view Ultra Cruise, would that be a revenue profit center? Or just a product enhancer. How do you see the kind of Level 2 plus product for you?
Mary Barra: We definitely see the Level 2 plus product as revenue-generating and profit-generating and very pleased with what we have with Super Cruise, and we're going to continue to enhance as we move forward. And we'll have more to share about this when we get to Investor Day in the fall.
Tom Narayan: Okay. And as a follow-up on Cruise. You made a strong case, obviously, on the safety features. Just wondering if you could give some color on how perhaps you're arguing that on a regulatory perspective, maybe on a federal level, like what are kind of the obstacles? And I mean, is that you see happening more likely now? Is there kind of a greater appeal now that you're seeing all these safety benefits? Is it a stronger case now than maybe it was before?
Mary Barra: I think as we continue to grow in miles, but first of all, we're not arguing with the regulators. We're talking to the regulators and sharing the information, which we've been doing for several years now. And so they understand how we're measuring safe with what Kyle referred to with what we did with outside groups and continuing to share the information. I think it's very goal aligned with what the Department of Transportation and NYCTA is looking for us to improve road safety. So of course, we're going to continue that dialogue, share the information, and we're very optimistic of where we're headed. .
Operator: Our last question comes from Ryan Brinkman with JPMorgan.
Ryan Brinkman: Okay. Great. It looks like the China equity income in 2Q was similar to 1Q, rounding to $21 billion, down from sort of $0.2 billion a year ago and of course, $0.5 billion quarterly pre-pandemic. What is required, do you think to restore China profitability to where you would like it to be, I don't know, from a sales or a share or perspective? It seems like you've got really great traction in that market for lower-priced EVs, such as for the Wuling brand. How should we think about your strategy for electrifying your high-end brands in China? Is that the catalyst do you think to higher profits in that market?
Mary Barra: Well, definitely, we have strong ICE products and performance there are already clear to winning as we go forward is having the right portfolio of EVs for Cadillac and Buick especially. And so we have a lot of those vehicles being launched right now, and we're continuing to work to make sure they're efficient in meeting the customer needs. But let's also remember, right now, we're in the high single-digit market -- market share place right now even with all the -- in fact that there's 100 new EV entries. So we've got to have the right EVs at the right price with the right technology. I was over there I guess, maybe two months ago now and did a full review of our product line and obviously spent time understanding where the competition is. I think we've got the right products coming. We've got to go out there and sell them now engage our team to get that done.
Ryan Brinkman: Okay. Great. And then just maybe lastly on the Bolt charge. Is the charge driven more by something differently being done for the consumer versus what was previously communicated? Or is it more of a like rejiggering of the cost-sharing agreement between GM and LG for the previously announced actions?
Mary Barra: Well, for a portion of it, obviously, as you announced the recall and then you look what it's going to take, we took some time working with the LG ES team to come up with a diagnostic that then over a period of time indicates that the vehicle can go from the reduction of 80% battery charge to the -- back to the full battery charge. That took a little longer. And so as we did that, we wanted to make sure we were taking care of the consumers, replacing the battery packs maybe faster than what we would have ended up needing to do. And just having attention to them because again, we have a very strong Bolt customer, and we wanted to make sure that they understood we're going to stand behind it. So I think we took the right actions. And as we looked at that, where we were as we were well into having that issue behind us, we looked at what was right from where the costs fell. So we just were doing the right thing. LG is a very strategic partner to us. And like I said, there's a lot of work that we're doing together and individually to continue to improve our cost position.
Operator: I'd now like to turn the call over to Mary Barra for closing comments.
Mary Barra: Thank you so much, and I want to thank everybody for your questions. As I said at the opening of the call, the success we've had in the second quarter and the first half ties directly to the great new vehicles we've launched and strong execution of our business plan. Our outlook, both for the second half and over the next several years, will increasingly be shaped by our optimized ICE and EV portfolio, our investment that we're making, not only in the vehicles, but also the growth opportunities as well as cost discipline. And -- this will be the focus of our next Investor Day that's going to be held in mid-November. The agenda will include a detailed look at our software strategy, led by Mike Abbott, who joined us from Apple in May. You're also going to have the opportunity to drive our new STBs and experience the expanding capabilities, as I mentioned, of Super Cruise. And one of the most important vehicles you're going to get to drive is the new Chevrolet Silverado EV work truck that we talked about it. I think most powerful examples of the benefits of the investment we made starting in 2018 on the Ultium platform. It offers up to 40% more driving range, faster charging and far greater towing capability than competitors because, again, it was purpose built to be an EV. And that's something that we've made the investments. We were going through the growing pains right now. Others they're going to need to do that as they get to their dedicated platform. So I'm very excited about what we're doing to be able to demonstrate in November and just know that we're going to continue to execute with discipline across all aspects of the business as we are in Q3 and into Q4. So appreciate everyone and look forward to seeing you then and probably talk to most of you before then. So thanks for your participation. And I hope everybody has a great day.
Operator: That concludes the conference for today. Thank you for joining. You may disconnect.